Operator: Good day, everyone. Before we get started, let me remind you that today’s conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995, and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity’s Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. At this time, all participants are in a listen only mode, later you will have the opportunity to ask questions during the question-and-answer session. (Operator Instructions) Please note, this call is being recorded. It is now my pleasure to turn the conference over to Gail Peck. Please go ahead.
Gail Peck: Thank you, [Tara]. Good morning, everyone. Welcome to the Trinity Industries First Quarter 2012 Results Conference Call. I’m Gail Peck, Vice President and Treasurer of Trinity. Thank you for joining us today. Following the introduction, you will hear from Tim Wallace, our Chairman, Chief Executive Officer and President. After Tim, our business group leaders will provide overviews of the businesses within their respective groups. Our speakers are, Steve Menzies, Senior Vice President and Group President of the Rail and Railcar Leasing Groups; Antonio Carrillo, Senior Vice President and Group President of the Energy Equipment Group; and Bill McWhirter, Senior Vice President and Group President of the Construction Products and Inland Barge Groups. Following their comments, James Perry, our Senior Vice President and Chief Financial Officer, will provide the financial summary and guidance. We will then move to the Q&A session. Mary Henderson, our Vice President and Chief Accounting Officer, is also in the room with us today. I will now turn the call over to Tim Wallace for his comments.
Tim Wallace: Thank you, Gail, and good morning, everyone. We’re off to a good start in 2012. The momentum in our railcar and barge business has generated operating leverage that enhanced our financial performance during the first quarter. From an overall company perspective, I’m pleased with the way our businesses are leveraging off our multi-industry manufacturing platform to pursue growth opportunities in response to market demand. Our railcar, barge and containers businesses continue to benefit from the shale, oil and gas exploration, and production activities that are well-positioned to capitalize as opportunities surface in the future. Demand for railcars in North America remain consistent during the first quarter. Steve will provide additional information on the railcar market during his comments. Our railcar leasing business continues to perform well by obtaining higher lease rates and securing longer term leases. This trend continues to build a solid base of leasing revenues and profit. Our inland barge business obtain a good mix of orders in the first quarter that extended production into 2013. Demand was driven by several factors including the need to transport oil associated with shale, exploration and production. Our energy equipment group reported a loss during the first quarter. The results were due to lingering issues associated with challenges in our wind tower manufacturing business. The wind energy as a whole is continuing to work through a number fundamental issue that are affecting demand for wind towers. We continue to dedicate management time and company resources to enhancing our manufacturing platform for wind towers, so that it can respond effectively to changes in customer demand. While the financial performance reflects a lack of improvement thus far, I believe we are making important strides to improve in this area. Antonio will provide more additional information during his remarks. Our construction products businesses are building momentum as they enter the early part of the construction season. Our highway products business is continue to experience consistency in demand for products due to the lack of long-term that will Highway funding. We expect levels of uncertainty associated with Highway funding will persist until our political leaders passed a multiyear transportation bill. Overall our first quarter performance reflects the strength of our multi-industry platform, the benefits provided by our market leadership positions and our commitment to operational excellence in that talents and hard work of our people. The trend lines in most of our businesses indicate another solid year of growth for the company. I will now turn it over to Steve Menzies for his comments.
Steve Menzies: Thank you, Tim. Good morning. First quarter operating results for the Rail Group and Leasing Group reflect improved operating leverage amidst steady railcar demand. Our Rail Group posted an operating profit of $40.1 million during the first quarter of 2012, a 16% increase compared to the fourth quarter of 2011 and 332 -- 330% increase compared to the first quarter of 2011. The dollar value of our railcar order backlog remain virtually unchanged at the end of the first quarter, despite a slight decline in total units. Our Leasing Group posted a 22% increase in operating profit year-over-year when compared to the first quarter of 2011, due principally the higher leased renewal rates and profit from these portfolio sales. Lease rates and renewal trains remained favorable. Industry demand for new railcars continued at a steady pace during the first quarter. Industry demand for new railcars totaled approximately 12,500 and were driven primarily by orders for railcars needed to transport crude oil from shale and tar sands fields, and orders to general service freight cost by severance cost on railroads, bus roads and (inaudible). In the long run we believe demand for rail transportation to support oil and gas exploration and production activities will continue to generate additional new railcar orders. Near-term the current price and the abundance supply level for natural gas has negatively impacted drilling plus reducing demand for small covered hoppers used to transport propane and profanes. At current oil price levels we expect oil drilling and the demand for railcar to transport crude oil will remain steady. The energy sector will drive an exciting growth opportunity for our businesses, we are monitoring industry developments and the downstream impacts closely. The abundance of low price natural gas is benefiting North American chemical producers, several major chemical companies have announced plans to build new plans for significantly expanding existing facilities in North America. Fertilizer producers are benefiting from low natural gas prices at record spring crop plantings. Oil and gas drilling is also impacting chemical usage. As a result, domestic chemical production is growing driving orders for new railcars to transport chemical products. Low natural gas prices have, however, depressed demand for coal cars, as utility switched to natural gas for power generation. This is only partially offset by slightly improving coal exports. As a result, we have seen an increase in the North American fleet principally related to an increase in railcars placed in storage. Order for freight cars for auto racks were also placed during the quarter as automobile production is projected to rise in the existing auto rack fleet is fully deployed, replacement orders for back cars are in part related to increased auto part shipments, orders for railcars to transport steel are also driven by automobile product increases. During the first quarter, Trinity Rail received orders for approximately 3,255 new railcars, including auto racks. Our first quarter orders were primarily for tank and covered hopper railcars from industrial shippers and general service freight cars and auto racks from railroads. Trinity Rail's railcar order backlog was 27,245 railcars at the end of the first quarter, down 6% from the end of the fourth quarter 2011. The dollar value of the backlog remains stable during the quarter at approximately $2.6 billion. First quarter orders included higher value railcars and benefited from increasing prices on certain railcars in high demand. Approximately 21% of the units in our order backlog are for customers of our leasing business. We were successful in Q1 orders during the first quarter that extend our current product lines, for some railcar types into the second half of 2013. We continue to focus on specific customer orders that optimize production at our facilities currently in operation minimize line changeovers and reflect favorable pricing levels. Our first quarter orders should positions us to achieve further operating leverage improvement. We delivered approximately 5,010 railcars during the first quarter, compared to the approximately 2,240 railcars we delivered in the first quarter of 2011 and 5,100 railcars in the fourth quarter of 2011. The steep slope of our production ramp up during the last four quarters has been challenging. During the first quarter of 2012, we experienced solid improvement in our operating leverage as our labor force is now more experienced and we have stabilized our railcar production rate. This is evidenced by the increase in our margin during the first quarter while operating at consistent production levels. For the year 2012, we are projecting delivery of approximately 19,000 to 20,000 new railcars. As a point of comparison, we delivered 14,065 railcars in 2011 and 4,750 railcars in 2010. We remain flexible in our 2012 and 2013 production plans, and the company has the ability to reallocate production capacity for multiple product lines as sustainable demand opportunities weren’t. While we have the ability to increase railcar production and major component suppliers have now ramped up, the industry may face further constraints from the availability of some specialty steel and components required for certain railcars. We added approximately 1,554 new railcars to our wholly-owned lease fleet portfolio during the first quarter bringing our total lease fleet portfolio including TRIP to approximately 70,000 railcars. Lease renewal trends are favorable. A high performance of our lessees are renewing their contracts, which lowers re-marketing expenses and minimizes other service time for the fleet. This just had a positive impact on leasing operating margins. However, the timing of regulatory testing and maintenance can be uneven and some times difficult to project. Renewal lease rates are also showing steady increases. These rates and new railcars are attractive investment levels. We expect this trend to continue to while existing railcars are in tight supply and new railcar production backlogs remain extended. We continue to see an active secondary market for the sale of leased railcars from our portfolio. During the first quarter 2012, we sold another group of leased railcars from our portfolio. We expect additional lease portfolio sales during the next few quarters assuming conditions continue to support an active secondary market. In summary, railcar market conditions remain favorable, although driven large part by demand from oil and gas exploration and production activities, an increase in automotive production. We continue to see steady order inquiries. We are closely monitoring development in these industries to better understand factors that may influence future demand for railcars. During the first quarter we saw meaningful improvements in our operating leverage as we continue to 2012 our operations team will continue to focus and improving efficiencies while keeping production levels stable for the next few quarters. We expect to see the benefits of a strong lease pricing environment and an active secondary market supporting lease portfolio sales. I’ll now turn it over to Antonio.
Antonio Carrillo: Thank you, Steve, and good morning, everyone. The Energy Equipment Group financial results continue to reflect the challenges faced by our wind tower manufacturing business. The wind energy industry as a whole has changed dramatically during the past few years. Today wind towers are rapidly evolving as our customer seek more efficient designs that we better compete with other energy sources. Demand for additional wind energy had a low point. As a result, domestic wind power manufacturing capacity exceed the demand. During the past year, our performance fell short of my expectation as our facilities transition between 80 and 100 meter towers. At this point, I believe the majority of our transition issues are behind us. However, there are still some fundamental market related challenges ahead. Further wind energy production incentives expire at the end of 2012. This is creating uncertainty and has brought orders for wind powers to low levels. Going forward, our production flexibility is key. Wind tower manufacturers must be able to produce a wide variety of tower designs and quickly shift facilities from one design to another and from one customer to another. Trinity’s multi-industry platform provides additional flexibility. It allows us to ship some wind tower manufacturing capacity to other creative products in greater demand. As an example of the flexibility we have in our system, one of our wind tower facilities made a quick changeover during the first quarter for manufacturing wind towers to tank containers for the oil and gas industry. It has since come back to making wind towers for different customers. These rapid -- rapid plan conversion speaking the progress we’re making in adapting to the challenges of the wind energy environment. During the year’s when demand for wind powers was high we entered into long-term contracts have continued to provide a foundational work. However, as long as wind tower demand is low, we will remain flexible to accommodate our customers production volumes and product mix. In the current operating environment which has shorter production runs and more strong conversions, it would be difficult to obtain operating leverage. We’re highly focused on returning the energy segment to profitability. I’m pleased with the continue growth of the other businesses within the energy equipment group. We have done a great job in taking advantage of opportunities for new products and expanding production capacity in response to market demand. I will now turn it over to Bill for his comments.
Bill McWhirter: Thank you, Antonio, and good morning, everyone. Our Construction Products group continued to perform well during the first quarter, producing an operating profit of $10.8 million, compared to $8.3 million during the same quarter a year ago. This 30% improvement was driven by our efforts during the past two years to reposition the mix of product lines within this segment. I continue to see more opportunities to grow and reshape the segment in the coming year. From a headwind perspective, we are seeing some slowdown in demand for Highway Products related to the lack of a multi-year federal highway bill. I’m confident that we are positioned to perform well in the current market climate, should Congress approve a multi-year federal highway bill, I believe we will be in a strong position to respond to increased demand. Moving to our Inland Barge Group. For the first quarter, our barge business had sales of $169 million and reported operating profit of $30 million. $3.4 million of this operating profit was a one-time gain related to the sale of lease barges to third parties. The net result was $26.6 million in operating profit as compared to $21.7 million in the same quarter of 2011. Barge movement of petroleum products, chemicals and export coal continues to be strong. During the quarter, our sales team did a great job bringing in a $187 million in new orders. These new orders reflect a very nice mix of dry and liquid barges. At quarter end, our barge backlog reached $512 million. Overall, I continue to be pleased with the performance of both our barge and construction products group. At this time, I'll turn the presentation over to James.
James Perry: Thank you, Bill. And good morning, everyone. My comments relate primarily to the first quarter of 2012. Our Form 10-Q will be filed later today. For the first quarter of 2012, Trinity reported earnings of $0.66 per common diluted share, a 120% improvement over last year’s first quarter earnings of $0.30 per common diluted share. Revenues for the first quarter of 2012 increased 46% year-over-year at $925 million, as a result of increased railcar and barge shipments, continued growth in our railcar leasing operations and strategic acquisitions made last year by our highway products businesses. Trinity’s operating profit increased 43% during the first quarter, the $122 million and our EBITDA increased 31% to $175 million compared to the first quarter last year. The reconciliation of EBITDA was provided in our press release yesterday. The Rail Group recorded 113% increase in revenues in the first quarter of 2012, compared to the same quarter last year as railcar deliveries more than doubled to 5,010 railcars during the quarter. Operating profit for the Group increased to $40 million during the first quarter, compared to $9 million a year ago. The increase in revenue and profits for the quarter reflects the strength and the recovery of railcar demand and Trinity rail successful ramp up of current production capacity to meet demand and achieve operating leverage. During the first quarter, the Leasing Group, reported growth of 6% in its leasing and management service revenues compared to the first quarter of 2011. Total operating profit for the Leasing Group were at $67 million, including $7 million of gain from railcar sales from the lease fleet, compared to operating profit of $55 million during the first quarter of last year, including $1 million of gains from railcar sales from the fleet. The lease fleet continues to experience improved utilization and higher rental rates compared to last year. In addition, due to the size and strength of the lease fleet, this group continues to successfully pursue opportunities to sell railcars from the lease fleet in the secondary market in line with this portfolio objectives, which include maximizing returns, diversifying the lease fleet and managing investment levels. Our Inland Barge have had another positive quarter in terms of operating performance. Revenues were 23% higher in the first quarter compared to the same quarter last year. The Groups operating profit was $30 million compared to $22 million in the same quarter last year. Operating profit for the first quarter of 2012 included $3.4 million net gain from the sale of 15 barges included in property, plant and equipment that were previously leased with third party customers. There are only two barges remaining in the barge list rated this time. Excluding the gain from the sale of barges in the first quarter, the barge group delivered operating margin of 15.7%. The Energy Equipment Group incurred an operating loss of approximately $4 million during the first quarter on revenues of $125 million. This compares to an operating profit of $11 million on revenue of $119 million last year. Revenues for the first quarter of this year increased compared to the same period last year as a result of higher shipments of tank containers, tank cars, the utility structures partially offset by lower volumes of wind towers. The operating loss results from transition issues arising from changes in product mix and our wind towers business as all of competitive pricing on wind towers. The construction products group continued to perform well in a challenging construction environment generating first quarter revenues to grew about 16% over the same quarter last year. Operating profit grew from $8 million in the first quarter of 2011 to $11 million in the first quarter of this year. This segments performance continues to reflect the positive impacts of strategic portfolio realignments resulting from the acquisitions in the Highway product space and asset repositioning to along with demand for construction materials produced our Concrete and Aggregates business. In summary, this year’s first quarter results from our core operations apply to significant improvement over the same period last year. At quarter end, our balance of unrestricted cash totaled $305 million. When this cash is combined with available capacity under our corporate revolver and Trinity's leasing warehouse facility, we had approximately $850 million of available liquidity at the end of the quarter, which positions us to capitalize on business opportunities as they arise. I will now discuss our forward-looking guidance. For the second quarter of 2012, we expect earnings per common diluted share for the company to be between $0.70 and $0.75. For the full year, we expect earnings per common diluted share of between $2.55 and $2.70. We anticipate that the Rail Group will report revenues of between $500 million and $525 million during the second quarter with an operating margin of between 9% and 11%. We expect railcar manufacturing to deliver railcars to our Leasing company that will result in elimination of between $85 million to $100 million in consolidated revenues and between $0.05 and $0.07 of earnings per share in the second quarter. This comparison in elimination of $123 million in consolidated revenues and $0.08 of earnings per share in the first quarter. For the full year, we expect our net Leasing capital expenditures to be between $300 million and $350 million. Included in our guidance for the second quarter is approximately $0.03 to $0.04 per share of gains from the sale of railcars from our lease fleet. Our annual guidance includes approximately $0.12 to $0.14 per share from lease fleet sale gains. The level of railcar sale activity from the lease portfolio is difficult to accurately project, given the opportunistic nature of the transactions in the secondary market. Thus the secondary market remains receptive to sales from the fleet. So we continue to seek opportunities to conduct such transactions. Inland Barge revenues are expected to be between $160 million and $170 million in the second quarter with an operating margin in the range of 15% to 17%. Our wind towers business continues to be focused on enhancing its ability to transition efficiently between wind tower models when customer's product needs change. This business is making progress in these areas and we are focused on improving the results in this segment. However, we remain unable to provide detailed financial guidance until we have more clarity about the exact timing of these business developments. We will continue to evaluate market conditions as we deploy capital to provoke the growth of our businesses. Our current plan calls for an investment of $100 million to $125 million of capital expenditures in our manufacturing businesses during 2012. As a multi-industry company, we have a lot of moving variables in our businesses and in the external environment. Our results for the second quarter and full year earnings for 2012 will depend on a number of factors including the orders we received that will fill in the remaining open slots in our rail and barge backlogs. The operating leverage we can achieve in our rail and barge businesses as we operate at this elevated level of production, our ability to conduct attractive sales from our railcar lease fleet in the secondary market, uncertainty around the long-term highway bill, weather conditions for our construction businesses and continued challenges in our wind tower systems. In addition, as we reported, we benefited from a lower effective tax rate of 32.9% in the first quarter, due to the settlement of certain tax audits. For the remaining three quarters of 2012, we expect our tax rate to be at a more normalized level of between 37% and 38%. Overall, we expect to have a solid 2012 substantial growth over 2011 results as reflected in our guidance. Our operator will now prepare for the question-and-answer session.
Operator: (Operator Instructions) We’ll go first to the site of Sal Vitale with Sterne, Agee. Please go ahead. Your line is open.
Sal Vitale – Sterne, Agee: Good morning all.
Tim Wallace: Good morning.
Sal Vitale – Sterne, Agee: Unfortunately, I’m probably having some phone issues so you’re in and out. So I missed a few of the comments that you made. So I apologize if I’m making you repeat them. But first question is on the lease side, the guidance you gave is that $0.12 to $0.14 per share of lease fleet sale gain for the year.
James Perry: For the year that’s correct, Sal. This is James, yes.
Sal Vitale – Sterne, Agee: Okay. And that’s up from if I remember right ‘10 to ‘12.
James Perry: That’s right. Yeah. The performance we saw in the second quarter as well as expectations for the rest of the year, led us to increase that slightly.
Sal Vitale – Sterne, Agee: Okay. And then the other question is on the orders that you received in the quarter, did you mention what the breakdown was there between I guess tank cars. I think you mentioned that one of the areas that had continued strength and was it auto production. Was it auto railcars.
Tim Wallace: Steve?
Steve Menzies: Sal, this is Steve. We don’t break it down specifically, but our orders were primarily for tank and covered hopper railcars to industrial shippers. And then some general service freight cars and auto racks from Class one rail racks.
Sal Vitale – Sterne, Agee: Okay. And of those, the covered hoppers to industrial shippers I assumed those are not the small covered hoppers that are used for fracs out, correct?
Tim Wallace: Some of those were small cube covered hoppers cars but I think if your questions, we’ve seen a decline in orders for those cars serving the fracs in province market, the answer is yes.
Sal Vitale – Sterne, Agee: Okay. How long is it -- that weakness has been -- I guess that step down in orders for car serving that market, that’s pretty much started, was it a couple months ago now, would you say?
Steve Menzies: Again, this is Steve. We begin to see the decline in their market probably late fourth quarter early first quarter. We see their markets taken up either. Given the projection we see long term for gas drilling. At least, this time starts project a recovery in that market perhaps sometime during 2013.
Sal Vitale – Sterne, Agee: Okay. That’s helpful. And then just one other question on the box cars market. Are you seeing any increase in inquiry in that market?
Tim Wallace: Generally not. There was a large order of box cars during the first quarter from TTX that was principally replacement and in part driven by demand for auto parts shipments. But we’ve not seen any consistent orders for box cars in that market.
Sal Vitale – Sterne, Agee: Okay. And then just a last question, can you comment on if I just look at total well group revenue and divided by the deliveries understanding that there is the rail components parts which I assume you will provide in the – (inaudible) but it seems that the ASP was roughly I think $120,000 or so which is a nice sequential increase. How should we think about, how much of that was just mix of higher price cars versus fair pricing?
Steve Menzies: Again, Steve, Sal. It’s difficult to generalize about pricing because our different product markets are behaving differently. Clearly, that improvement that you’re seeing was in part from higher valued cars, as we would refer to we had. We sold some catalogs during the quarters. There are some Chevrolets. But we’re also seeing increase in pricing and cars are in very high demand.
Sal Vitale – Sterne, Agee: And those catalogs but tank cars, as I said, those are higher priced cars, right?
Steve Menzies: I think that’s where we are seeing rising prices and your higher priced cars would probably do the auto racks that you asked about earlier.
Sal Vitale – Sterne, Agee: Auto racks. Okay. Thank you very much.
Operator: We will move next to the side of Art Hatfield with Raymond James. Please go ahead, your line is open.
Alex Gordon – Raymond James: Hi, there good morning. This is [Alex Gordon] for Art. Couple of questions though, one on the barge lease fleet. Could you give a little color on the decision to sell the 15 and what are your plans out for the remaining two?
Tim Wallace: Bill.
Bill McWhirter: Yeah. Sorry, Alex. The team really resulted in people having options to buy at certain periods of time and then several of the barge just coming out lease and another third party being interested. So it is really just a moment in time contractually. So the remaining two, we don’t have any current intent to sell. But that’s not to say that given a right sided economic that we wouldn’t sell those.
Alex Gordon – Raymond James: Okay. Thanks. And then lastly, on the TRIP fleet. I know that it actually grew about by about 120 cars. Can you talk about what’s going on there and why do you have growth in fleet?
James Perry: Sure. Alex, this is James. On the TRIP fleet, we had, in the last couple of quarter, some sales of cars from the TRIP fleet with our general secondary market transactions we’ve had along with our wholly-owned lease fleet. Part of TRIP with its debt and its requirement that those cars are replaced to keep that fleet at a relatively stable level. So TRIP replaced those cars during the first quarter for cars that are sold during the fourth quarter. So if you go back a couple of quarter it remained stable, but you saw an increase from Q4 to Q1.
Alex Gordon – Raymond James: Okay. I see. Thank you for that and that does it for me this time. Thank you.
Operator: We’ll move next to the site of Allison Poliniak with Wells Fargo.
Allison Poliniak – Wells Fargo: Hi. Good morning.
Steve Menzies: Hi.
Allison Poliniak – Wells Fargo: As Steve I think you eluded this with somebody else’s questions, Sal’s question may be. But the same value for the backlog is that more driven by mix in the backlog right now or is it may be to a lesser extent pricing or am I reversing it somehow?
Steve Menzies: Allison, you’re right. It is mixed, but we are also seeing increase in prices on cars that have been stable in our backlog as well. And I should also point out that we’ve also seen significant price increases in steel and steel components that’s driving railcar prices too.
Allison Poliniak – Wells Fargo: Okay. And I guess in line with that was particularly the mix issue. Any upcoming significant line changed over the next two quarter that we should be aware of?
Steve Menzies: None that you should be aware of. Nothing significant.
Allison Poliniak – Wells Fargo: Okay. Great. Thank you.
Operator: We’ll move next to the side of Tom Albrecht with BB&T Capital Markets. Please go ahead with your question.
Tom Albrecht – BB&T Capital Markets: Hi. Good morning everyone. I've got a couple of questions here. First on the guidance, I’m not trying to knit pick but the world we live in right now. So if I take kind of the upper end of what you could do in the first half, 66 plus 75, its $1.41. And I kind of take, it doesn’t matter whether I take the low end or higher end of your annual guidance, it clearly implies a little less earnings in the second half of the year. And so my question is, is this because of the uncertainty of energy and the fact that you probably see losses for at least another quarter or two or is it because you’re seeing some sort of a slow down in railcar activity and that’s implied in that guidance?
James Perry: And Tom, this is James. As I highlighted a little bit in the script, we have a lot of moving parts right now. You look at things around and uncertain highway build. Certainly, you mentioned the energy space. We don’t have specific guidance there for what we expect to continue but we continue to have challenges in the wind tower business. We’ve had a higher level of sales from the lease fleet in the first quarter. And we’re projecting the second quarter than you would see in the back half of the year. As we mentioned, we’re still looking for opportunities for attractive transactions in that space. So as we find those, then we will look at taking advantage of those opportunities and then as we mentioned also, we still have open slots in both our rail and barge production lines. And so as we look to fill those slots, the level of production we’re able to achieve, the operating leverage we can achieve in the pricing and resulting margin of all those variables will be important to know what the back half looks like. And as I mentioned finally, the tax rate there was an advantage in the first quarter from the art is we’re able to settle. And as you return to more normalized tax rates at the back half of the year specially, you see a bit of an impact there. So, early as I said, it’s a lot of moving parts we have in our businesses, right now. We’re certainly looking to take advantage of everything we can in the market, but there are some challenges in some of the businesses, so we get through the rest of the year.
Tom Albrecht – BB&T Capital Markets: Okay. Steve you did a good job of providing some commentary on the different railcar types but I think just stepping back are -- what are you really sensing in the attitude of perspective buyers. Is it a little bit of a pause because perhaps the economy did something in the last five or six weeks or just any change in the tenure. Forget about just Q1 orders because that’s what I think everybody is trying to figure out here. There is a lot of capital goods data points that have decelerated since early March?
Steve Menzies: Tom, this is Steve. When we were going forward we really see the energy sector driving demand and I’ve mentioned increased automotive production will also drive demand that is implications in chemical production perhaps plastics, steel as well as automobile carriers auto rates. So we really see consistent demand coming from those three markets and I’ve not really seen a slowdown in demand from many of those markets.
Tom Albrecht – BB&T Capital Markets: Okay. And I guess, the other question back to energy. We know its been an issues for few quarters now. I think the thing that is probably little bothersome everyone is got a little bit of surprise loss in September we all digested that, made a little bit of progress in the fourth quarter, the loss was under 1 million. Now it just feels like the whole little bit of a small Pandora’s box is just opened up almost $4 million loss, and its just hard -- when you got some macro worries and a small business unit having issues. Can you say with any confidence the loss is likely to narrow because your commentary had somethings about pricing mix, supply demand and other things that were a little bit more descriptive in the last couple of quarters, so it lead us to believe that maybe this is the new run rate of losses?
Tim Wallace: Tom, this is Tim. You make some really good points there and some good observations. The financial performance of our wind tower business does reflects a lack of improvement, as I said in my script. But we’re really making some good strides and our efforts to improve our performance, which is very difficult to precisely predict the timing of the improvements due to complexity associated with the wind energy business as well as the internal challenges that we’ve had. The product mix challenge associated with the wind towers are very complex. And we made a lot of headway in our manufacturing facilities. The designs are changing more rapidly. As Antonio had mentioned, in each tower tie pads has own unique features, which require a high level of expertise at the manufacturing level. So that’s why we’ve made some significant investments to enhance our manufacturing confidences in this area. And I feel confident that we’re making good progress in this area. We’re just not at a point, where we can give a precise predication of our success, but my feeling is very positive in this area. We’ve got a lot of really high quality people that we’ve dedicated resources on and from an internal point of view we’re seeing some really good progress.
Tom Albrecht – BB&T Capital Markets: So Tim, I’ll get back in the queue here. If I had to summarized, what was more difficult in the March quarter than in the December quarter. Just I understand all those bigger issues, but something was more difficult, one or two things were that really stood out in seeing a loss climb almost 3 million sequentially.
Tim Wallace: Well, for one thing and Antonio mentioned it, we had one plant that finished up at the end of the year without any towers. And so, back in the fourth quarter, they did a really nice job of placing some containers in that facility to cover some of the overhead that was associated with it and generate some revenue for that facility. And then, they were able to convert back from containers to wind towers right at the end of the quarter. And I think the wind tower run that they have in that plant right now is going to be on more consistent basis for a few months. And so, that was probably one of the more significant events that we had.
Tom Albrecht – BB&T Capital Markets: Okay.
Tim Wallace: It was kind of good new and bad news that gave us this opportunity to prove out some flexibility that we have and gave us encouragement that we can continue to do that. And that’s going to be crucial as Antonio said, in his comments about flexibility.
Tom Albrecht – BB&T Capital Markets: Okay. Tim, thank you.
Tim Wallace: Sure.
Operator: We’ll move next to the site of Bascome Majors with Susquehanna. Please go ahead. Your line is open.
Bascome Majors – Susquehanna: Good morning.
Tim Wallace: Good morning.
Bascome Majors – Susquehanna: You said the tank cars – I mean, clearly tank cars remain very high among the car types and both you guys may arise this morning, you’re now quoting for the third quarter of 2013 or beyond for delivery slots there. I was just curious if you guys have added any capacity or do you plan to going forward with AR they in their peak and GBX sticking with one tank car line for now.
Tim Wallace: Yeah. This is Tim. I don’t believe, Steve, that we stated we were quoting delivery in that time period for tank cars, did we?
Steve Menzies: No. We do have some of our backlog extends into the second half of 2013, where did not say what car types those were.
Bascome Majors – Susquehanna: Yeah. So you want to comment on tank car capacity and…
Tim Wallace: Well, I think the question really before us is what type of flexibility. Do we have in our operations to be able to adjust to shifts in demand, and clearly, Bascome, we’re seeing significant demand for tank cars. When we look to add capacity, we’ve done a number of things in our existing facilities to increase the capacity through lean initiatives. So we still feel we have added the capacity in our facilities to meet that demand. We also have the ability within Trinity’s product lines to shift and we allocate production capacity from one product line to another. And as we see again demand being sustainable we will consider those options as well. I will tell you at this time we do not pursue the need to open any idled facilities. And again, we’re confident between what our production platform is through our Trinity and the capacity we have at our existing plants, where we’re well capacitated for the demand in tank cars.
Bascome Majors – Susquehanna: Okay. Well, that makes sense. And if we don’t get the [PTC] extension in wind and that starts to wind down later this year. What sort of a timing on that wind down and when you might seek to potentially, use your flexibility to maybe serve tank containers or tank cars with one of those plants.
Tim Wallace: Antonio, you want to take that?
Antonio Carrillo: Well, we have different facilities making wind powers today. And each one of them depending on our contracts has different timing. So there is not a specific timing on each facility, but as I mentioned the flexibility is there. The processes are very similar, so the flexibility there to do it as the facilities wind down and tank car needs and sees demand sustainable to support those facilities.
Bascome Majors – Susquehanna: Do you have wind deliveries scheduled for 2013, at this point?
Antonio Carrillo: We do have contracts that are expanding to 2013.
Bascome Majors – Susquehanna: All right. Thank you, guys. That’s all I have.
Tim Wallace: Thank you.
Operator: (Operator Instructions) We’ll move next to the site of Steve Barger with KeyBanc Capital. Please go ahead. Your line is open.
Steve Barger – KeyBanc Capital: Hi, good morning.
Tim Wallace: Good morning.
Steve Barger – KeyBanc Capital: For those high dollar cars you booked -- to those end of production do you have 12 or more 2013 delivery I’m trying to understand when that positive mix might really start to hit your margins?
Steve Menzies: Steve this is Steve Menzies, I think the answer to that is yes, its both in the second half of this year and going into 2013.
Steve Barger – KeyBanc Capital: Okay. And I think if I heard right, you suggested they will open deliveries for 2012 in Rail Group but I know you don’t talk about either the car types, but are you saying you are not fully booked for the 19,000 to 20,000 deliveries or I guess another way what percentage of backlog you specifically selected for 2013?
Steve Menzies: We’ve not historically broken out our backlog by years. We do have some slots yet available in 2012 and certain lines of ours. In railcars, we do have the benefits of our long-term contract with GATX, which spills into 2013 and beyond.
Steve Barger – KeyBanc Capital: Okay. Switching gears Steve, you had mentioned there were constraints for some types of specialties deal for products. And I missed or I didn’t hear it right. Is that a current or potential risk to production, what type of car were you specifically talking about there?
Steve Menzies: Some tankers require specialty steel. And that specialty steel is known as normalized steel. And that steel is highly specialized and there are only a few producers of that -- today. That steel is also used in some of the applications for oil and gas drilling so there is high demand for that of steel from some other industries as well. So as we look to continue to expand tank capacity and to respond to demand for railcars in their market that is a potential constraint that needs to be considered and moving forward, as well as the potential for the ability to securing debts for increased tank car production.
Steve Barger – KeyBanc Capital: And just to I understand does normalized steel go into a normal ethanol or crude cost or is that more for a [TIH] cars something like that?
Tim Wallace: There are new requirements being put forward by the FRA that will require normalized steel to be utilized what we referred to as packaging groups one and two hazardous commodity tank cars of which any of these oil products and ethanol are considered part of.
Steve Barger – KeyBanc Capital: Got it. And whether those are proposals those are in place right now?
Tim Wallace: The industry seems to be operating for new car production to those rules we’re certainly producing to those rules. And final rule making has not been completed by the FRA.
Steve Barger – KeyBanc Capital: Got it. Okay. And one other on leasing. Could you say what the increase in lease price was for renewals in the quarter year-over-year?
Tim Wallace: I did not and we don’t typically disclose that but we’ve seen very steady increases in lease renewals along with a very high percentage of our customers renewing their expiring contracts.
Steve Barger – KeyBanc Capital: Is it fair to say, if you’ll take a shot at it, were those lease renewals up double digit year-over-year or single digits?
Tim Wallace: Yeah. They’ve been very good lease renewals.
Steve Barger – KeyBanc Capital: Got it. Thanks. I guess, I’ll get back in line.
Operator: We have a follow-up question from the side of Tom Albrecht with BB&T Capital Markets. Please go ahead. Your line is open.
Tom Albrecht – BB&T Capital Markets: Yeah. I just wanted to follow-up a little bit. And I think periodically, you get asked this question but -- in the first quarter your market share of the new orders was about 25%, historically your share of orders and particularly production can run higher than that. What are your thoughts here relative to share versus profitability? It would seem like you’re in a spot to really manage your margins and profitability like never before and may be the market doesn’t fully recognize that. So I’m just curious, share versus all those other thoughts.
Tim Wallace: Steve.
Steve Menzies: Sure, Tom. This is Steve. And I know you’ve followed us for a while. We have never driven our business by market share and certainly any one quarter can be skewed from time-to-time by one large order or several very moderate size orders. Or in certain -- or quarters those orders we didn’t pursue. And we do look at market share trends over longer periods of time, and detailed market share by specific car types. But our principle objective is to focus on orders that optimizes our production in our facilities currently in operation, minimizes line changeovers and reflects favorable pricing levels. And I’m very please with the orders we took in the first quarter satisfying those requirements and those are the orders that we’ll continue to pursue going forward.
Tom Albrecht – BB&T Capital Markets: Do you feel like there is the opportunity to set record margins this cycle and railcar manufacturing, and then an easy one is, should we look for Q2 production to be comparable to Q1.
Tim Wallace: Tom, this is Tim. I don’t really feel like that where we can comment about record margins and opportunities. There’s endless opportunities within our company to always enhance profitability and we’re striving as best we can. And it’s just a real complicated question to try to respond to. So I don’t think we have a precise answer to that.
Steve Menzies: And Tom, the second priority to your question this is Steve, with respect to production levels. I think I’ve indicated we expect production to be between 19,000 and 20,000 cars for the year. And if you look at our first quarter here we had 5,000 cars produced. So I think you can kind of assume that there is a steady production level for the balance of the year.
Tom Albrecht – BB&T Capital Markets: Okay. Thank you.
Operator: I’m showing no further questions in queue. At this time, I’d like to turn the program back over to our presenters for any closing remarks.
Gail Peck: Thank you. That concludes today’s conference call. A replay of this call will be available after 1 o’clock Eastern Standard Time today, through midnight on May 3rd, 2012. The access number is 402-220-2669. Also, the replay will be available on the website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.
Operator: This does conclude today’s conference. You may disconnect at this time.